Operator: Hello all. Thank you all for your patience and a warm welcome to Terran Orbital Second Quarter 2022 Earnings Call. My name is Lisa and I will be your moderator for today. [Operator Instructions] I now have the pleasure of handing over to your host today, Jon Siegmann, Senior Vice President of Corporate Development. Jon, please go ahead.
Jon Siegmann: Thank you, Lisa. Good morning, everyone and thank you for joining Terran Orbital’s second quarter 2022 earnings call. With me this morning are Marc Bell, Co-Founder, Chairman and Chief Executive Officer of Terran Orbital Corporation and Gary Hobart, Chief Financial Officer of Terran Orbital Corporation. Marc will provide a business update and highlights for the quarter and then Gary will review the quarterly results. Terran Orbital’s executive team will then be available to answer your questions. During today’s call, we may be making certain forward-looking statements. These statements are based on our current expectations and assumptions, and as a result, are subject to risks and uncertainties. Many factors could cause actual events to differ materially from forward-looking statements made on this call. For more information about these risks and uncertainties, please refer to the company’s filings with the Securities and Exchange Commission, each of which can be found on our website, www.terranorbital.com. Readers are cautioned not to put any undue reliance on forward-looking statements and the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call. Please also note that we will refer to certain non-GAAP financial information on today’s call. You can find reconciliations of the non-GAAP financial measures with the most comparable GAAP measures in our earnings press release. With that, I will turn it over – the call to Marc.
Marc Bell: Thank you, John and good morning, and thank you to everyone for joining our second quarter 2022 earnings conference call. I am excited to share with you our results and operational highlights from the quarter as well as observations on the macro environment and then look at the year ahead. Gary will provide more detail on our financial results and then we are happy to take your questions. First, a quick introduction to those of you who are new to us. Terran Orbital has helped pioneer the space industry’s small satellite revolution by delivering highly efficient satellite platforms to a broad mix of customers for over the past decade. Our customers include NASA, Lockheed Martin, the Department of Defense, the Intelligence Community and the European Space Agency as well as numerous commercial customers. New technologies and the new economics of small satellites have revolutionized our industry. Terran Orbital delivers to its customers and month for millions of dollars, solutions that used to take years and carry a price tag in the billions. Our satellites provide higher functionality, persistent and faster product delivery at a lower price point. Terran Orbital is taking an industrial approach to building satellites at a massive scale. We serve an industry that the U.S. government forecast will launch approximately 50,000 satellites over the next decade, creating an enormous opportunity for companies with advanced, scalable, vertically integrated satellite and design and production capabilities like us. Let’s take a look at our accomplishments for the quarter. We are delighted with our team’s performance this quarter, and we are happy to report that our business is rapidly expanding. Here are a few highlights on our progress. First, we saw a significant increase in business momentum during the second quarter. Revenues rose 120% in the quarter compared with the prior year period, primarily due to the continued and increased level of progress made in satisfying our customer contracts, including the ongoing and favorable impact from significant contract wins and modifications in recent periods. We continue to increase our intellectual capital and our headcount rose approximately 20% in the quarter to more than 400 people as of June 30. And in June, representatives from Lockheed Martin and the Space Development Agency joined us for a tour of our new expanded state-of-the-art facilities in Irvine, California. We are thrilled that with our backlog, which is up 200% to the end of 2021 to $224 million, and our pipeline is comprised of more than 140 identified opportunities representing a value of approximately $16 billion of potential customer revenues as of June 30, 2022. Second, our manufacturing execution is on track, and we are very proud of the performance of our growing team. We continue to develop and deliver satellites on schedule and operate exciting groundbreaking missions on behalf of our diverse mix of customers. Difficult supply chain conditions persist, but I’m proud of how our vertical integration strategy is proving its merits, and we continue to make investments in infrastructure and equipment to expand production capacity and decrease our reliance on outside suppliers. Within the defense sector, we are pleased to have delivered in May the first of 10 satellite buses to Lockheed Martin in support of the Space Development Agency’s Tranche 0 for the Transport Layer. The Transport Layer is the foundational layer for the National Defense Space Architecture and a secure mesh communications network in space, which will enhance U.S. global defense capabilities. And Terran Orbital remains fully committed and expects to deliver the remaining 9 satellites for Tranche 0 on 2022 and has already commenced work on the next 42 satellites for the SDA for Tranche 1. Our reliable execution on these tranches enhances our competitiveness for future awards and related to this critical defense constellation, which will consist of hundreds of satellites and low earth orbits, and we expect these to be replaced every 5 years. This is showing how a change going from – there used to be geosynchronous satellites that would last 25 to 35 years now goes to satellites that last 5 to 7 years, and our business becomes a recurring revenue business as the business model has changed. As previously announced, we subsequently won a contract to provide an additional 42 buses for Tranche 1, and we expect to begin delivering in 2023. Within civil government sector this quarter, we are also exceptionally proud to have delivered NASA’s CAPSTONE satellites in NASA in June as a critical part of the Artemis program to return humans to the moon. Since NASA’s launch of CAPSTONE on July 7, Terran Orbital’s mission operations team successfully established communications with the satellite and is now utilizing groundbreaking low-energy navigation technologies to guide the satellite, as far as, 1.5 million kilometers from earth before returning it to a near linear halo orbit, which is basically an elliptical orbit around the moon. This is very exciting mission, not only verifies the dynamics of the orbit but also proves Terran Orbital’s reliability and speed and delivering technological breaking satellite solutions for our customers. Additionally, within the civil and commercial sectors, we supported the launch of 6 customer satellites on a single SpaceX launch in Q2, all of which are successfully operating for a diverse mix of satisfied customers. The diverse missions of these satellites demonstrates the expanding end markets and use cases enabled better technologies and economics of small satellites. Turning to the macro environment, small satellite demand remains positive. In the defense community, for example, we are seeing increased urgency and demand for space solutions in response to a variety of factors, including Russian and Chinese development of new military technologies and capabilities. We also saw real-time utility of satellite imagery, coverage and resilience and the miss of geopolitical crisis demonstrated in Ukraine. In Congress, there continues to be broad bipartisan support for the National Defense Authorization Act, which has been passed every year since 1961 and is one of the few programs to have such bipartisan room support. In July, both houses advance the bills proposing a significant increase through 2023 – in the 2023 defense budget and prioritizing research and development for space programs. 2 weeks ago, the Senate advanced the bill with a $63.6 billion increase in DoD spending versus fiscal year 2022 versus fiscal year 2021. The Senate earmarked $2.2 billion for development of resilient space capabilities, including low earth orbiting satellite systems. Early in July, the House of Representatives provided an even bigger year increase in funding, including for tactically responsive space programs and the mandate to integrate commercial base capabilities related to space situational awareness, imagery and communications. Such solutions are right in Terran Orbital’s warehouse. Outside of the U.S., other countries are responding similarly to military and environmental threats by increasing budgets for space systems and seeking to harmonize and integrate their space requirements for those in the United States. For example, both the UK and Australia have recently announced new military space investments and expanded cooperation with the United States. Finally, looking ahead, we expect the second half of this year to be very exciting. Firstly, we look forward to delivering the rest of Tranche 0. Second, we have over 20 programs in house, and we are ramping production capacity to execute on our backlog and future opportunities. We continue to be on track to open our new Irvine California production facility in the fall of 2022. We continue to vertically integrate our production in order to provide the highest value proposition to our customers. And finally, we continue to be excited about our pipeline and achieve engagement we have with our customers. We continue to see increasing customer demand for constellation for satellites. And this, as I said before, is the future of space, which is a recurring revenue business. In sum, our results for the quarter demonstrate the strong growth in our business and I could not be proud of our team’s execution or validation of our market opportunity and business strategy. With that, I now turn it over to Gary for an overview of our financials for the quarter. Gary?
Gary Hobart: Thank you, Marc, and good morning, everyone. I’m happy to report another strong quarter for Terran Orbital as we continue to build momentum in our business. Revenue for the second quarter was $21.4 million, a 127% increase over the same period last year, reflecting our continued execution on our programs. As a reminder, we recognize revenue on most of our programs on a percentage of completion basis and changes have a cumulative catch-up impact in the period in which we make the adjustment. In the second quarter, adjustments to our estimates at completion or EAC reduced revenues by approximately $1.3 million. Adjusted gross profit for the quarter was $2.1 million, down from $4.5 million in the same period in the prior year and up from negative $0.2 million in the first quarter of this year. EAC adjustments during the second quarter reduced adjusted gross profit by an estimated $3.8 million comprised of the $3 million I mentioned previously, plus $2.5 million from EAC adjustments to cost of sales. Adjusted EBITDA was negative $14.8 million for the quarter compared with negative $2.5 million in the same period in the prior year, and essentially flat compared to the negative $14.7 million in the first quarter of 2022. The decrease in adjusted EBITDA year-over-year was primarily due to the decrease in gross profit and increases in selling, general and administrative expenses related to salaries and wages, research and development, facility expenses and other operating costs as a result of our growth initiatives. Finally, at June 30, we had approximately $62 million of cash on hand and approximately $203 million in gross debt obligations. And since quarter end, we entered into a common stock purchase agreement with an affiliate of B. Riley. This committed equity facility gives us the right, but not the obligation to sell to B. Riley over a 24-month period up to the lesser of $100 million of newly issued shares or 27.5 million newly issued shares at a 3% discount to market, subject to certain conditions and limitations. We are pleased to have entered into this arrangement, which provides us with a flexible option for access to incremental liquidity as needed. I will now turn the call back over to Marc.
Marc Bell: Thank you, Gary, and thank you, everyone, on the call for your continued support of Terran Orbital. I now look forward to taking your questions, and I’ll turn it over to the operator.
Operator: Thank you. [Operator Instructions] Our first telephone question today comes from Austin Moeller of Canaccord. Austin, please go ahead. Your line is open.
Austin Moeller: Good morning, Marc and Gary.
Marc Bell: Good morning.
Austin Moeller: My first question here. So in the release, it says that the PredaSAR launch for the first two satellites has been moved to 2023. Is this, as you said on the previous earnings call due to the focus on delivering those Tranche 0 buses to Lockheed as the priority?
Marc Bell: Yes. We’ve made it a priority to get the Tranche 0 buses done first before finishing the PredaSAR. That said, we are well along on the antennas for the PredaSAR bus, and the buses will come after Tranche 0.
Austin Moeller: Okay. And then just a follow-up there, do you expect that – if we think about the timing for the first two PredaSAR satellites. Do you think that’s more of a first quarter ‘23 item or a second quarter ‘23 item?
Marc Bell: It’s really a question of a SpaceX launch schedule at this point. It has our desire to get one up in the first quarter and possibly both, but we’re going to take it to schedule. And we have secondary payloads on both those satellites that are different. So part of that is up to the people providing the secondary payloads. But it’s our goal to get it up in the first quarter.
Austin Moeller: Okay, great. Thanks for the detail.
Operator: Thank you for the question, Austin. Our next telephone question comes from Robert Spingarn of Melius Research. Robert, pleas go ahead. Your line is open.
Robert Spingarn: Hi, good morning. Marc, just on PredaSAR, are you still looking at a 96 satellite constellation or is that plan evolved?
Marc Bell: The plan is evolving. We are looking at getting the first two up. There is been a lot of communications with our potential clients for this. And so, the satellites continue to evolve.
Robert Spingarn: Okay. And then, Gary, just with regard to cash burn, it was much higher in Q1 than Q2. And so, while I understand you’re not guiding, how do we think about cash burn for the next several quarters? What’s the cadence?
Marc Bell: I think the cadence is a good mix of the two. If you look at the year-to-date number and kind of see that’s kind of in the 20% to 25%. A lot of it depends on our working capital. And with the business of designing and really manufacturing satellites, a lot of the payments are coming up and paid to us ahead of the labor and spend. So we tend to be – as we have new awards, we tend to be fairly – generated a fair amount of cash from our working capital. So that could have quite a big swing. And that’s what you saw between the first and the second quarter. So it could be anywhere from $20 million to $25 million, but this quarter it was only $15 million of burn.
Robert Spingarn: Got it. And then just last thing, Marc, you talked about adding people. I think you said you’re at 400. So it sounds like you had a decent intake just in this last quarter, but what is the hiring environment like? Is it getting better? Is it getting worse? And how is attrition?
Marc Bell: I think we’ve been very lucky on being public, it’s helped a lot. We’re increasing our headcount by about 10% a month. We’re having very little attrition. We are being – we are having a lot of people who – more visible we get, things like the NASA CAPSTONE program. We’ve got a lot of people excited and a lot of resumes in the door, the SDA’s Tranche 0 and Tranche 1 got a lot of resumes in the door. So as we get on these bigger, more exciting programs, we’re getting a lot of people who want to leave the big primes and come work for an exciting startup like us. So it’s – for us, it’s a very exciting time. We have an office now in Melbourne, Florida, and that office is growing by leaps and bounds. That also has a very large tech community there. And as we look forward to continue to expand in Florida and California, but Florida has been a very rich ground for us behind some pretty amazing talent.
Robert Spingarn: Great. Thank you very much.
Operator: Thank you very much for your question. Our next question comes from Elizabeth Grenfell of Bank of America. Elizabeth, your lien is open.
Elizabeth Grenfell: Hi, good morning. I have a follow-on question. The first being you said the PredaSAR plans are evolving. Can you give us some sort of indication of what – how you’re defining evolving, whether that’s up, down and how much do the right things are potentially shifting? And then in line with that, how should we think about CapEx for this year and beyond?
Marc Bell: So I’ll tackle the first part. As far as the evolving goes, we’re looking at the Tranche 1 bus, which is a much larger bus. We’re seeing the benefits of going to having a bigger bus with more batteries and having a – which allows also to additional secondary payloads. So we’re liking that strategy a lot. And with the amount of secondary payloads what they do is they open up opportunities for us to connect to other networks. So for example, we’re putting an OISL link to connecting to DARPA’s Blackjack on one of our satellites. We have another customer on the tune of first or second satellite, and we have another customer with another program connecting to something else. And so, we are seeing a lot of activity. So, we take a larger bus with additional secondary payloads gives us more connectivity into more existing government programs and an increasing potential for revenues. So we view this very much as a positive. We always think – we always remember, my space was the first, but it weren’t the winner. And we keep telling us, we keep reminding ourselves. It’s all about the end game. It’s not about being the first. And Gary, do you want to talk on CapEx.
Gary Hobart: Sure, on CapEx, for the first 6 months of the year, we’re at $9.4 million. During the first quarter, we guided to about $15 million to $20 million of CapEx for the year. We are not updating guidance, but as you can tell from the cadence, we’re right kind of in the middle of what we’ve guided to. CapEx is going to be a function of various things, including the launch of PredaSAR satellites and other things. Also with the addition of the B. Riley facility and the access to additional liquidity, it really allows us to have a lot more flexibility on when and what we’re spending money on, even as we look at our resources and are mindful of our capital resources.
Elizabeth Grenfell: Okay, thank you. And then I think I’ve seen any – what kind of supply chain headwinds have you seen any implications of that in the quarter and going forward?
Marc Bell: We’ve been pretty lucky. We continue to vertically integrate. And we’ve seen minor issues on chips, but not a lot, mostly with third-party vendors, they are having some issues, but everyone are delivering on time and on budget. So we’ve been pretty pleased overall. We’ve been very – we have a great team managing our supply chain, and we’ve done very long-term relationships with our vendors, and we’re in good shape.
Elizabeth Grenfell: Great. Thank you very much.
Marc Bell: Sure. Thank you.
Operator: Thank you, Elizabeth. Our next question today comes from Josh Sullivan of The Benchmark Company. Josh, please go ahead. 
Josh Sullivan: Good morning.
Marc Bell: Good morning.
Josh Sullivan: Just a follow-up on the larger bus for the PredaSAR, are you seeing any larger needs for power for the PredaSAR. Anything come out of the operational environment in Ukraine to suggest any – suggest the needed changes for the SAR technology?
Marc Bell: So, it’s interesting. So, power, what makes us different than a lot of our competitors out there in the SAR market that are using much, much smaller buses is we are able to have a longer time imaging and we can image when we are not facing the sun. So, we get more time imaging and downloading than other people. And that’s one of the – that’s one of the huge advantages of being a much larger bus, we have much more batteries. So – and that also gives us the ability as we go to a larger bus is to have more space and more power for secondary payloads that allows us to interconnect with other government systems. And so, we are working with our customers, figuring out what is the best solution and continuing to develop other technologies with them that allows us for greater connectivity. And forgive me, the – what was the second part of your question, that was like a two part question after that.
Josh Sullivan: Is there anything that come out of the operational environment where we have seen some SAR use has changed your positioning on SAR?
Marc Bell: The Ukraine, which is an incredible tragedy has really proven to the government and to customers the value of SAR. And there is just not enough SAR satellites in orbit today. And the SAR satellites were credited for stopping the Russians on their advance to Kyiv and because they are only attacking at night and being able to see at night and find those missile launches, made a huge difference in the war. So, SAR by now you see people going out on our own looking at SAR, commercial SAR and other people looking at commercial SAR, whereas a year ago, those conversations were all classified. So, now, they are looking at commercially adopting SAR. It’s a very – just like electro-optical was classified and became a commercial product, you are seeing SAR quickly moving down the road of becoming a commercial product, meaning they are much more willing to buy from people like us than they were a few years ago, which is great.
Josh Sullivan: And then just a question on – as you move to Tranche 1 from the first tranche, is there a learning curve improvement on your end or is Tranche 1, the bus is any more complicated. Just any thoughts on the changeover as you begin that early work?
Marc Bell: Yes. I mean there is always a learning curve. Every satellite we build, we have to learn something. That being said, we are building – I think our large – we are building satellites now as large as 800 kilograms. So, we are really stepping up what we are able to do, because while we invented the CubeSat and we created this industry, it’s a great demonstrator, you could do something in a small package, but it’s – now there is a happy medium between where you need to be. 450 seems to be the sweet spot size-wise. You want to make sure you can put on a [indiscernible] on SpaceX, but it is the more batteries and the more processing power that you can put into these things within reason, it is because you don’t want to get too big, because then you want to – you want on a transporter launch. But it’s exciting how these things have transformed, and very quickly, because we are able to – because we manufacture a lot of our components ourselves, we are able to do a lot of this transformation in-house without relying on third-party suppliers.
Josh Sullivan: Got it. Thank you for the time.
Marc Bell: Thank you.
Operator: Thank you for your question. Our next question today comes from Erik Rasmussen of Stifel. Erik, please go ahead.
Erik Rasmussen: Yes. Thanks and congrats on all the progress.
Marc Bell: Thank you.
Erik Rasmussen: As it relates to the SDA program in Tranche 0, it seems like you are on schedule to deliver all 10 buses by year-end. But what hurdles do you see at this point that can prevent you from staying on schedule? I know you just talked about supply chain issues, some personnel there. The capacity is obviously coming up, but there is still a lot of work between now and the end of the year?
Marc Bell: We are in pretty good shape on Tranche 0. We have all the frames done and we have a lot of the components we have done. Now, it’s really just about assembly. And so, we are very busily assembling the satellite. We delivered one already the Lockheed Martin and the rest of them are just following along schedule. So, we don’t see any real hiccups coming down the road for Tranche 0. So, much so to add, I will add to that. Not only have we done that, but we have already begun work on Tranche 1, just to give you an idea of the schedule. So, we are doing excellent – our staff is doing excellent job, I mean not only keeping on schedule, but moving it along already progressing to Tranche 1.
Erik Rasmussen: Great. And then maybe just we haven’t heard about it on your prepared remarks, but as it relates to your plan announcement on the Florida facility. Where are you at on timing of this? Any updates that you can give us?
Marc Bell: We are working feverishly. I spoke to the tenant governor’s office yesterday, and we are working feverishly to get it done. It is unfortunately working with – our government does take time, as I have learned, patience – lot of patience is a virtue. And they are very eager to see us have a shovel in the ground. We are very eager to have a shovel on our ground, and we just need everybody else in between our three shovels to get it done. And they are working – I don’t have a calendar timeline yet. I hope to have one soon. But all I could tell you is everyone is very busy working on it daily to get this thing moving.
Erik Rasmussen: And then maybe just last on the Irvine facility, that’s going to – looks like that’s going to open in the fall timeframe. How do you see capacity sort of ramping? And when does that start to have an impact on some of these programs that you have mentioned, Tranche 1 because you are already starting on that?
Marc Bell: Yes. I mean we are adding a phenomenal amount of space in the new facility. I mean we are going from – we are going to add 40,000 square feet of clean room. We have already completed – 20,000 square feet is already completed and a moving condition. And we already started moving people in. That’s for production. So, we – that facility will be completed by the fall. And it gives us 40,000 square feet, mostly high bay. So, we could do – all we could do all of Tranche 1 in there plus a lot more. We have room for a couple of more constellations to fit in there.
Erik Rasmussen: Right. Thank you.
Operator: Thank you for your question Erik. [Operator Instructions] Our next telephone question comes from Griffin Boss of B. Riley Securities. Griffin, your line is open.
Griffin Boss: Hi. Good morning. Thanks for taking my questions. So, can we just get some more color on the 140-plus opportunities in your pipeline that you mentioned, I think representing over $16 billion in value? Is that satellite solutions, or does that incorporate the overall business with prospects for PredaSAR?
Marc Bell: That is satellite solutions. Satellite, our manufacturing business is booming, we are seeing incredible demand from both not only the government but the civil, the commercial and civil sectors. We are seeing everybody really – people are finally getting it at slightly a better term, and have seen the opportunity to make money from space. And so, we are seeing – there are lots of people out there who are trying to build constellations that are working on it. You have a lot of very well-funded players that are entering the marketplace. And it’s just a land rep, we have a finite amount of facilities, and we are adding more. And we look to continue to add more facilities at a rapid pace in order to keep up with demand.
Griffin Boss: Got it. That’s helpful. So that sort of leads to my next question, then in terms of adding capacity and facilities. I don’t want to beat the dead horse on PredaSAR, but just curious to get your thoughts on how you are thinking about the overall strategy there going forward with regards to pulling in or pushing on investment for PredaSAR and how you are balancing that out with additional manufacturing capacity investments places like Florida?
Marc Bell: It’s really about the customer at the end of the day, what the customer wants and the things the customers want PredaSAR to do and as PredaSAR as we continue to get these secondary payloads and this thing evolves with it. It’s not necessary – it’s not about our manufacturing capacity after the new facility opens, we are in fabulous shape to get to Tranche 1, to get PredaSAR out and a few other people to boot. So, it’s not a capacity issue. It’s really an evolutionary process as we will be the first major constellation – commercially on constellation SAR satellites. We want to do it the way our customer wants it to be done. And our customers are becoming – the customer base that we are talking to is increasing its size and they have more things that they want, and we are listing to our customer, because we want to be successful from day one, and that’s very important to us. And so, it’s not about – so it has nothing to do with cap spend. It has to do with delivering what the customer wants and how they want it and because we are in this for the long-term. That’s a constellation that I will be around for decades once it gets going.
Griffin Boss: Got it. Thanks Marc. That’s helpful. And then just last one from me. What’s the – can you give – can you elaborate a little on the manufacturing timeline for the satellite buses you are delivering Lockheed for SDA’s Tranche 0? I am just trying to get a sense of when we should be expecting the next nine – when the next nine buses could easily be delivered over the next 4 months?
Marc Bell: They will be delivered over the next four months. They would be delivered yesterday. But the reality is, I had dinner with people from Space Force not long ago, and their dream is to order satellite on Monday and get it on Friday. And they were only half joking, as I said that. And that’s the future of this industry is being responsive state is to having your components sitting there on a rack and really being able to assemble satellites on demand. And I see a time, 3 years or 4 years from now, where that isn’t going to be too far from reality, that you will be able to order a satellite and get it in a very quick time – get it in a very quick fashion. Your people – I hear people joking about it now that they can deliver a satellite in 30 days, that’s not reality. You have to test it and a lot of testing moves into these things, because remember, you can’t – it’s all your card to break some lease a dealership, you go pull it back and fix it. It has to work every time when failure is not an option. So – but that being said, you will see things going much, much – timelines getting more and more compressed as – over the next few years.
Griffin Boss: Okay. Alright. Fair enough. Thanks guys. I appreciate the time.
Marc Bell: Thank you very much.
Operator: Thank you. On behalf of our listeners, thank you, Marc and team for answering the following questions. I would now like to hand the call back to Marc Bell for any closing remarks today.
Marc Bell: Well, I just want to thank everybody for attending today’s earnings call. We are – we appreciate your support, and we look forward to talking to everybody soon. Have a great day, everybody. Thank you.